Stuart Smith: All right everybody this is Stuart Smith, greetings and welcome to Progressive Care Earnings Call for the Quarter Ending June 30, 2019. The company will also be providing a business update on this call today. At this time all participants are in a listen-only mode and this conference is being recorded. A recording of this live conference call will be available at smallcapvoice.com/rxmd, shortly after the call has been concluded, an archived version of the webcast will also be available at the progressivecareus.com/investor. Now representing the company today is Shital Mars, CEO of Progressive Care Incorporated, but before we introduce her, I'd like to remind everyone that during this call management's prepared remarks and statements may contain forward-looking statements which are subject to risks and uncertainties, and management may make additional forward-looking statements during the Q&A session. These forward-looking statements are subject to risks, and uncertainties, and actual results may differ materially when used in this call the words anticipate, believe, estimate upcoming, plan, target, intend and expects, and similar expressions as they relate to Progressive Care Incorporated, its subsidiaries or its management are intended to identify such forward-looking statements. Investors are cautioned that forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from those anticipated by the company at this time. In addition, other risks are more fully described in RXMD’s public filings with the U.S. Securities and Exchange Commission, which can be reviewed at sec.gov. At this time, I would like to turn the call over to Ms. Shital Mars, CEO of Progressive Care Incorporated ticker symbol RXMD. Shital, the call is yours.
Shital Mars: Hi, everybody, thank you for joining us today, it's another great day to have an earnings call. Before I begin, I want to say a quick thank you to our team here. We do the closing of the acquisition on June 1st. And they worked night and day and weekends and put their blood sweat and tears into making sure we have sound financial statements on time. They put in a lot of effort. And I want to say thank you to them, because we run a really lean tight ship on the administrative side of things. So I couldn't have gotten any of this done without them. And I thank them for that. I'm going to get into the financial statements. I'm going to go as quickly as I can, because I want to allow as much time for question-and-answer session as much as possible today. But the financial statements are very different from how they usually are given that now FPRX is part of them. So I will try to be as clear as I can about splitting everything out so everybody can understand what everything means. So if you're looking at the balance sheet, we had about $2.6 million in cash together, you will see that you have cash restricted on this. This is the first time we've ever had cash respected. The reason for that is the $1 million that was released from escrow to pay for FPRX actually went into their FPRX bank account. So whatever was left after they took their some disbursement from that money. It was still sitting there as of June 30th. So that money -- that $849,000 is actually the property of the former owners of FPRX. So we have that label their cash restricted. Cash unrestricted includes all of the cash from the FPRX bank accounts that is not for the benefit of the former owners, PharmCo 1002, which is the PharmCo Palm Beach location and Progressive Care. So you'll see $1.8 million there. That includes any monies received from the financing that we did in January and in June to do the purchase of FPRX. Accounts receivable trade that's pretty similar to everybody previous filing accounts receivables trade is only amount that our crew from insurance carriers and PBM if you notice is about 100% different than 90% difference from December 31, 2018. Again, a lot of these differences that you're going to see in comparison to 2018 includes amounts receivable from the new acquisition FPRX. So they had about $800,000 or $750,000 in accounts receivable from FPRX. And then we had an increase in a account receivable from PharmCo 1002 at because sales have increased in PharmCo 1002. Inventory has gone up because again adding the inventory from FPRX and prepaid expenses so there's a difference here. Prepaid expenses now includes amounts that has been escrowed from PharmCo by RSAL [ph] for those of you don't understand what a RSAL is a middleman between the pharmacy and prescription benefit managers who pay for prescriptions on behalf of the insurance company. They're the ones that hold the contracts with each individual PBM and we contract with a PSAL. So our PSAL has been escrowing certain amounts for DIR fees, GER fees, BERC [ph] transaction costs and things like that. And so any of those that are prepaid are there and as they get invoice and those amounts come out of their escrow account and paid to the PBM for those fees. Then this balance will go, we'll fluctuate and go up and down for that. So that's something new there, typically prepaid expenses in the past have included just simply security deposits and things like -- and prepaid insurance that we amortize over the year. So total assets are about $5.8 million, property plant, equipment this includes the building. So $1.8 million of that is the building, we have cars, we have [indiscernible] we have lease hold improvements. So we have about $2.2 million in property and equipment. Notice that's not significantly different, there's some depreciation and that’s not significantly different from the December 31st balance which also included the new building. In other assets goodwill has changed significantly from the December 2018 number. It has about $3 million or $2.9 million in goodwill. Just so anybody is wondering how we came up with that $3 million number it's about 6 times their EBITDA the traditional trading value on a private business would be between 4 and 7. Because of their contracts, because of their location, we felt that 6 times was fair and then it'll take us at their current rate if they don't grow at all will take us a little bit less than six years to recoup our investment and then make money from then on. So we feel like that was a fair valuation for what we got. And I'll go into Orlando in that business and how that benefits us later on in the call because I think it's significant. Going to current liabilities again big changes because of the addition of FPRX. Accounts payable went up by about again 90%, because of the addition of accounts payable from FPRX and also increases in accounts payable from growth from PharmCo and growth from PharmCo 1002. In consideration payable on business acquisition, as of June 1st there were certain amounts owed to the former owners of FPRX, that includes the stock portion of that $3 million. That includes their cash balance, AR, net AP and inventory. So we've added all that here and we split it out instead of putting it all with accounts payable. We're putting that in consideration payable on business acquisition. The only thing left to be paid out to them is that AR, AP balance. As we're still finalizing the exact number, we know that we've accrued an amount on our balance sheet that is fairly close, but we're still ironing out different things like rebates and DIR fees and things like that, that come in 90 days after the fact and sometimes six months after the fact. So that might -- that number might change slightly when it's actually paid out. Notes payable will include the mortgage and it's also going to include the Elliot and Chicago financing. As you see in derivative liabilities and note payable net of current portion all of this is going to add up to the big notes that we have one being the mortgage for the building and the Elliot, and Chicago that we took down in January and June and a lot of this is being held in escrow to pay for the acquisition. Capital leases are equipments that's going to be your script pro, there's going to be a TCG that's going to be pro rata and things like that. And on our net revenue for anybody joining the call for the first time, we have anything that we've build and not yet delivered to the patient, which would be on a cut off day like June 30th, we build a certain amount in revenue, and didn't yet put it into the patient's hands, because we're still out delivering. We take that out as a liability and it comes off our sale number in June 30th. And then it gets reversed in the following quarter when those scripts actually end up in the hands of the patients. So you will see that 330 anything you see here in unearned revenue gets added to the sales of the next quarter. Moving on to our consolidated statement of operations, much of this is straightforward. Our sales are up for the three months compared to the last -- same quarter last year, it's up about $2 million, $1.4 million of that is FPRX and about $600,000 of that is PharmCo 1002. Keep in mind PharmCo 1002 about a year ago was only doing about $100,000 in sales a month and doing $200,000 and we're getting very close to that $300,000, a consistent $300,000 number. We think that before the end of the year, we're going to be in that over $300,000 a month number. And then going with PharmCo, with FPRX, they're doing about $1.4 million in sales a month. And we know that with the efforts we have and how much we've grown and the presence we bring to the Orlando, Brevard County we will be able to increase sales for those Orlando locations and I'll go into that a little bit further. Going into cost-of-sales, cost-of-sales was about $5.4 million for the three months ended June 30, about $9.5 million for the six months ended June 30th. One thing you'll notice it's a little bit different in presentation and I think we've adjusted these comparable numbers, is that bringing down these net sales numbers to accounts for PBM fees. We have over 200 and something thousand, 250,000 of PBM fees record to Humana and Optum and Express Scripts and Prime Therapeutic, there is half a dozen of them that take PBM fees of the top of any reimbursement. And that now comes because that's not written in the contract, not as a retroactive recruitment through DIR in the later fees, and that's the escrow, fees are now written as part of the contract. So any contractual reimbursement rates is now lessened by any DER fees, GER fees, PBM fees, DIR fees, whatever, as long as it's in the contract. So that's net -- that's now included in net sales. So we'll see that our gross profit margin because it used to be -- it used to include compounding and things that have higher margin now that those things are no longer covered, and we're having these additional fees that existed in 2019, and not in 2018. We're seeing the gross profits come down. We do have opportunity to improve that, within that buying power of all four stores, which purchase about $2 million a month or more from one wholesaler, we have the ability to negotiate these rates down now as a combined entity. And that's what we're working on now with our primary wholesaler. How to bring down our cost of goods and improve the margin and then also because we have all of these sourced together, we're now looking at how we can improve our margins on the sales side as well. Not only through performance, but also working with insurance carriers and see if there's ways one, they can cover things at higher reimbursement rates, but also have us be part of their formulation and benefits to their members for providing some of the specialized services that we offer that benefit their plan as a whole. Bad debt expense has gone up a little bit over 2018, it's still not material about $18,000. And again, that's just primarily due to increased number in sales that also includes any bad debt from FPRX. So it's not too bad on a percentage basis. We're still working to make sure that our insurance carriers pay for every single claim and resubmitting those claims and making sure that nothing falls through the cracks, and so we're continuing to move that forward. Stock-based compensation, I'm going to talk about this more later in the question-and-answer session, but you'll notice there's nothing there. There's no stock-based compensation planned for any current insiders of the company that includes me, that includes the executives, that includes the board. The only stock-based compensation that is currently planned for anybody who worked here would be for employees who have met that minimum threshold of full time employment who are entitled to small bonuses in stock so that they can benefit on the growth and trajectory of the company. We believe that helps us get the most out of our employees, but as far as executives and any major stock issuances to control shareholders or anybody previously, those are no longer part of the equation. Selling and general administrative expenses, PharmCo side is a little bit down, but again you're going to add into this FPRX. And keep in mind that we only have one month of FPRX, because we closed on June 1st, so we don't have the full quarter in here we only have one month of them and we have a little bit of increase in SG&A in PharmCo 1002, again, because they've grown pretty substantially. And we've done quite a bit of work in their facility to accommodate more growth, we spend probably about three full days a week, marketing in that area, and only marketing in that area we are also trying to maintain the business in the Miami Dade and Brevard Counties. So while we're trying to expand across all the counties we service, we are heavily focused now going up the East Coast of Florida to the Palm Beach. That's Brevard County, and going into Orange County, which is Orlando. Change in fair value derivatives, this is kind of a wash between that and interest expense, all that is associated with the financing arrangements. And so we have a net loss here, you're going to notice that the net loss is about $1 million for the six months, not all that is cash loss. So we'll go into the non-GAAP, the cash basis numbers for the loss there. And again, a lot of that is directly attributable to the work we're doing to grow. And for the change in reimbursement structure, the PBM fees and the increase in drug costs. So you're going to see a little bit of that there. But we do have a plan to mitigate a lot of this and go into 2020 on the positive side, and finish out the year strong with increasing sales and increasing profitability. But I'll go through all of that in the question and answer portion of the call. In the equity section notice that it hasn't changed, we didn't issue any of the stocks for the prior owners of FPRX until July. So that those shares went out. I believe we have about 436 million shares total, because 10 million got issues -- 10.4 million got issued for the former owners. And then we had some residual shares that we need to pay for the web development. But I think all of that is now paid-off and complete. And we don't anticipate any more shares being issued to pay for the acquisition. Going into cash flow, again, you're going to see a little bit of differences and some big increases and you're going to see a big increase in accounts payable and accrued liabilities from December 2018 to now, and that also includes FPRX and everything we owe for FPRX on the acquisition side, the unearned revenue, all of these changes that you'll see there. So keep in mind when you're looking at this, so this includes one month of FPRX, and this change in -- certain changes in the balance sheet, we have the restricted cash that comes off. So we have the net cash used for the six months ended June of about $100,000. But we are well capitalized at this point. So we don't anticipate needing to change that in the current period to pay for anything -- to pay for our standard operating practices. And we're also very pleased with the performance of FPRX because they are cash flow positive Century Village is cash flow positive, and PharmCo 1002 is within a few brand of being cash flow positive. So they're all very close and PharmCo only need one or two major clinics to sign on. We just -- we did onboard a couple in June and July. And that’s the transition process, so even though we have access to another 800 or 1,000 patient, we're slowly bringing them onboard because each one has to be spoken to individually. It doesn't work where we just it's good to have all the patients all at once. So we're working on that. And we think we're very close on PharmCo in North Miami Beach. So those are the financial statements, you'll see that we have net cash increase of about $1.7 million, again, that comes from the financing announced in the bank account. And that's what we've been using to capitalize the company and grow and put into marketing and advertising and everything else. So fundamentals while we believe we're performing better than expected, given all the changes that occurred in January of 2019 with what the PBM has done and what insurance carriers have done and the change of Medicare and everything else. And I'll talk a lot a lot about that in just a minute to give everybody an in depth a little bit of education on all the alphabet hits going on there. We know there's areas of improvement. And I want to now turn it over to the questions because I want to get into how we are going to improve and make sure we're strong going into 2020.
Operator: Well, once again, everybody, thank you for taking the time to send in the questions in advance, and we will try to address as many of them as we can. Some of your questions have been combined as always, I've mentioned this before, in other calls with some other similar questions in order to save time on the call. Now if for some reason your question was not addressed today, please send me a note and we will try to get it answered in one of our follow up interviews. Shital, here's the first question. Please explain to the listeners the reasoning behind the shareholder meeting as it is structured and the basic purpose for the increase in authorized shares?
Shital Mars: So this is really fundamental question that I am happy to address now. And I look forward to addressing you in even more depth at the meeting itself. We initiated the financing with Elliot and Chicago, again, for our growth for our trajectory, we know that organic growth alone will not be what sustains us in the future, we need to get bigger, we need to get stronger, we need to add more companies under this umbrella. And the way to do that was to finance that. And we had an agreement with Chicago that we thought was fair, given the cash constraints that we face and the margin constraints that we face. So talking to them, they want given how much exposure that they have in the company now with the $1 million that they issued another $3 million that they put forward for us to buy FPRX, they want to have a reserve. So I know that there are some -- been some discussion of whether we're going to use any of these shares to issue myself or issue Armin [ph] any stock and that's just not the case. We're not using the shares to issue board members, any bonuses, not me not any of the executive staff any bonuses, this really, we want to make sure that we have enough for the required reserve of the contracts. And to facilitate the financing. And so we don't have any problems with our secured creditor. They've been rather bear with us in the last three years, funding our growth and we've been working with them since 2015, 2016. So we know what we're dealing with there. And that's the reason for the amount. I know that we will -- there has been some questions about why $500 million, why not $200 million. And again, that has to do with that reserve. It depends upon the price of the stock. And where we are, while we believe that we should be valued at much higher. And then that will reduced the amount of stock we would need to issue to pay back these notes. The stock could change and we want to be prepared for that. So that's the reason for that number. I want to address another question that I know came in about discussions of reverse stock split. Again, it's not for me to promote or not promote or agree or disagree with a reserve stock split, my personal feelings on it and the company's feeling on it is that a reverse split should only be used for a reason. It should be used to go to NASDAQ, it should be used for the uplift, it should be used not just to increase the prices of the stock. And then dilute even further, we would rather know that if we're going to do a reverse it once and never again. And that's reason why we haven't addressed reverse in prior conversations. That's why we're not addressing it here in the shareholder meeting. Because we just don't believe it's time. We want to make sure that the shareholders and the board and the management all agree this is the time we're all here. We're all in it together, we all vote for it. And we do it once. And we do it for the good of the company. And we don't look back. So that's why we're not talking about reverse. But again, it's not for me to oppose or propose or before again. This is something we as shareholders, all of us must come together and make a decision together, not just one individual here. And when it comes to authorizing the new stock, our shareholders are a big part of that decision. I know it was built into the agreement. But we're all about transparency. And we also -- we've never done a big shareholder meeting before. We've never gotten a chance to talk directly to our shareholders and we want to have that opportunity. And we think that a decision like this should be done with all of them, it should be done with their consent, and we will hope that that's given at the time of the meeting. And we'll move forward as a stronger, better company that's unified. So that's really the purpose behind the shareholder meeting and the increase in the authorized shares.
Stuart Smith: All right. Why do you think the stock price is where it is at and can you tell us whether the company continues to see problems with short sellers or if any insiders have participated in the market activity?
Shital Mars: So one thing I want to address very quickly and definitively, no insider has cleared stock or has sold stock. I know I say that in every earnings call and we kind of get these questions every call, like what are the insiders doing? The insiders must be selling, the insiders must be doing this. First of all, if any insider does sell, it will be fully disclosed and it will be fully disclosed in advance. Anybody who's an affiliate here, anybody who has gotten stock and has access to nonpublic information, will have to have a stock selling program, that stock selling program must be disclosed in advance and every shareholder will be previewed to that. Know exactly who's selling and how much and when. But, I can tell you and if anybody is wondering well how would I know, it's because I have everybody certificates. I don't let anybody take them out and not that anybody has asked, but everybody's certificate is here with me. Mine, Armin, J's, the board, they don't have them in their possession they are saved in the safe here with us. So nobody has cleared them they're not in anybody's brokerage accounts. They can't sell under my nose, even if they wanted to. As far as the Chicago or Elliot diluting or purchasing, we've communicated with them they've shown us basic proof that they are not participating in market activities they're precluded from doing so, by the terms of the agreement. They're not allowed to short, they're not allowed to buy, they're not allowed to do anything. Any shares that they would get what comes from the terms of a financing would be restricted, their selling is restricted and their selling would be disclosed. Again, we would disclose that to our shareholders just as we did before, we show every share we issue and every share they sold. So that's not part of it, either. We're not seeing any short selling, that is outside the range of normal, we're not seeing sales to deliver, we're not seeing a high volume of naked shorts, and that's reflected in the volume that we see. So we’re not seeing a lot of negative market manipulation. I know that shareholders are building into the price of stock, the Chicago and everything else, but I would like for all of them to be forward thinking enough to know that they're not dealing with a mom and pop pharmacy. They're not dealing with an average pharmacy. We're more transparent than any OTC alternative reporting company I can even think of, and we're growing, we're innovating, we're doing a lot of things differently than everybody else. So what you're investing is you're investing in the future. And one of the things I say even to the people who work here and the people that are following us and the doctors and everything, what we believe here is one plus one plus one is not three, one plus one plus one is six. And that's how everybody in the insurance world looks at us. They're not looking at us for our bottom line, they're not looking at us for our profitability, they're looking at us for our lives under management. Every time we gain a person, and that person gets their prescriptions from us year after year, we now become the primary point of control for that patient. So we have the ability to influence whether they say a member of this plan or another plan, we have the ability to influence whether they're on this drug or that drug. So as we add acquisitions, the whole point of adding acquisition is not just to add profitability, while that is a major purpose. It's not just for that, it's to add those relationships, it’s to add those contracts. And it's again to add those prescription numbers, and to add those patients under management. Every time we do that, it gives us more leverage with PBM, it gives us more leverage with insurance carriers, it gives us more leverage with wholesalers. So we hope that everybody can start looking at there are some intangibles here that can't be valued on our balance sheet. But that's part of what you're investing in is that growth trajectory and the purpose and the point of what we're trying to build here. And we have a lot of things that we can put together to build. As far as the price of the stock, obviously, we believe it should be valued much more. And we hope that after calls like these and all the work we've done on social media and all the work that we've done to be as go-to-pharmacy as we are that we're going to start seeing that value reflected and I will say thank you to all of our shareholders anyway, because they have supported us unconditionally for a really long time. We value that support, and we continue to need that support. And so I want to say thank you to them, because that we are where we are because of that. So that's our opinion on that.
Stuart Smith: All right, then has the company given any thought to attending investor conferences in the coming months?
Shital Mars: So we've attended investor conferences in the past, and that's allowed us to get some visibility. The problem that we face with the investor conferences is while we present to maybe 20, or 30 people, we have these one on one meeting with the family offices, and I apologize for the phone ringing in the background. We have the family offices that come to us and say, we're offering you this terms and that terms, a lot of the times the terms were getting offered are worse than the ones that we see with Chicago. We're not getting a lot of bank offers, we're not getting some of the things that I know that shareholders are wanting to see the kind of terms they are wanting to see. Those are not what we're getting out of the investor conferences, what we're trying to think of now is that, since we're not looking for certain types of financing, where they're willing to fund our receivable, we're not looking or interested in any kind of financing like that. We're looking for long term investors, we're looking for people who want to buy the stock, and they want to stay in the stock for the next two, three, four, five years. To find those investors, we're thinking that it might be more beneficial to us or devote our capital resources to doing broker roadshow, by presenting to individual offices who have access to individual accredited investors who want to invest in a long-term strategy, who are looking for it for tax purposes or looking for it for investment purposes, capital gains purposes, whatever their reasoning maybe, but we're looking to enhance our shareholder base, have those shareholders be behind us through the long haul. And I think that's going to be that's going to be the best for us going forward, though, we are not opposed. And we continue to talk to investor conferences, whatever the opportunities come up, we just don't think it's beneficial for us to spend $10,000 to $15,000, to go to New York and present the 10 people and get the same kind of deals that we've been getting so far. But if the opportunity arises, we will entertain it.
Stuart Smith: Very good. Have you made any progress on completing the audited financial statements for FPRX and preparing for a future up lift?
Shital Mars: So we did not get full access and control over the accounting software and historical books until June 1st. Had, we have more time with it, we probably would be further along. But we've actually made significant progress on redoing their books. I mean, we have -- they were in a hybrid cash basis, you have to remember that even though they were doing $1.4 million in sales a month, they were private owners, and they ran their books, the way private owners run their books. So we did our due diligence, we managed to do an analysis on an estimate of a pool and what that would look like for us. And that's how we made our purchase price and determine that. Now we're in the process of getting into the nitty-gritty of going back two yours. Again, it's a significant acquisition it nearly doubled our sales volume. So it's not like PharmCo 1002 which wouldn't require two years of audits to go back to the SEC, we know that we're in progress with it, we're working on the book. And as far as that we want to put one foot in front of the other, we need to complete FPRX first. We need to get those audited first, and then look at the rest of the SEC requirements and up list requirements and the SEC registration requirements. We want to make sure that we don't put the carp before the horse, so to speak, and do everything correctly. We know we need more independent board members, we know we need some stock compliance. We have a number of people who work with us and help us who are able to get those underway, but I think the bulk of the work is going to be in the audit and we need to focus on that first and do that right. Do the act one, and then get the rest of the stuff for up list. So we're still looking at 2020. And we knew that I know that we wanted to do 2019 but the opportunity for the acquisition came up and we would not have been able to complete that acquisition had we been SEC registered. They would not have allowed us to do the audit before the acquisition, which would have been required so. We believe we made the right decision in delaying it just for the year to get this acquisition under our belt because it's a big change. And it's going to be -- it's going to mean a lot of improvement for the company.
Stuart Smith: All right, Can you discuss the plans for expansion?
Shital Mars: So, I know that we've gotten a lot of questions. And I have the list in front of me, and I want to make sure I hit all of them. If I do miss your question about expansion, specifically, please send Stuart a note so that I can address it in the future. So I'm going to talk about each opportunity separately. Let's talk first about North Miami Beach day, that's our primary location, that's the one that does 25,000 to 28,000 prescriptions a month. Our expansion opportunities, we have a number of them with 340B, we did sign a new contract with 340B all of the contracts that we've signed in the last six to eight months on 340B have all been at or above market rates on 340B services. Again, the reason we would get above market rates on 340B services is because we provide additional compliance and accounting, we do have two legacy contracts that we're still servicing. And the reason we still service them because we're so heavily involved in that community. This is such a high risk population. Many of the patients that they service are indigent or impoverished, are homeless. And so we feel is our duty not just as a company, but as stewards of our community to continue to work with those non-profit organizations to reach these high risk populations. But every, every new contract has been at, at a greater percentage basis. And we're working to expand those contracts. And we're working to make sure that we get benefit out of those contracts. So you'll see 340B business go up with the newest contract we just signed. They're already are talking about expansion plans, and they want us to be part of it, as they go further north into Orlando, into Brevard, into Tallahassee and Jacksonville. So we're now working on that partnership with them to see how it would fit and how the contract would work as we go further north and what are we need a kiosk or something like that. So that's one on top of the basics of getting new patients and getting new clinic as you see, we're very active on social media, we've improved our PharmCo, our Progressive Care, our Twitter, our Facebook, our LinkedIn, our Instagram, all of that stuff. And I know that sounds very cliché, but all that stuff kind of matters. Because every time we walk into a doctor's office, it's a lot easier for us to convince them that we're a legitimate pharmacy and not a fly by night because we have a presence, because we have brand recognition. So that's why we put a great deal of effort into that. We have also the TV and a radio and advertising and Google ads and all that. So we're working on all the expansion on 901 in Miami, Dade and Brevard County. Palm Beach, as I said before, we're focused very heavily three days a week just on working on Palm Beach facility, we're going not just to regular doctors' offices, we're going to large scale MSOs. In Palm Beach, there isn't a lot -- there aren't a lot of pharmacies I tell you, there aren't a lot of pharmacies who focus on adherence, that focus on measures, that focus on heated and macro [ph] and MIPS and all of that when we walk into a doctor's office, and we tell them the same words that they know, they're surprised, they’re shocked, they want to work with us. So it's just a matter of getting them one by one by one. And I know that’s a slow go, but it's the lowest cost of customer acquisition we have worked with. So again, social media and advertising and things on a broad base direct to patient basis. So the cost of customer acquisition is very high, and the success rate is very low. Whereas if we market directly to the doctors' offices, the ability to get on board, a clinical that has 800, 1,000, 2m000 patients in the whole MSO is a lot easier, it take only a couple of months to get them on board, as opposed to on-boarding one patient at a time. So that's PharmCo Palm Beach. And again, you're seeing that in the sales we're seeing 200, 230, 250, 300 starting to pop into our sales and that's a lot because of the marketing there. And they only need a consistent $300,000 in net revenue after PBM fees to be cash flow positive and profitable. More importantly. So that's Palm Beach, Orlando. Orlando, most of FDR businesses located in the greater Broward County and Orlando. We believe that because it was a private business and they were operating under the terms of what private businesses do, they weren’t putting a lot of effort into marketing. We know that there are a lot of patients that used to us FPRX. And there are a lot of doctors that are no longer affiliated with their main MSL, no longer affiliated with their main physician practices that have done off and done their own clinics and done their own private practices so we know are going to each one of them we’re putting a great deal of effort into expanding into Orlando. I know there was a question about 340B in clinics, specifically with Orlando our 340B business we know that all of our entities have facilities in Orlando, has facilities in Palm Beach, and we're going to each of them and asking them hey add our other locations to [indiscernible] which is beyond my web portal to be allowed to service those facilities from these new locations without adding additional contracts. So we are working on getting 340B up and running with Orlando. One of the things that is really promising with Orlando is we're allowed to go in that I-4 corridor. So we're talking about St. Petersburg Tempe, we're talking about Daytona and Titusville on the other side. With Brevard County, which is Daytona and Titusville, we believe that we have opportunities there, there was a large MSO that we work with down here, that also have facilities in Orlando and Brevard. And we already have our marketing team up doing presentations with all of those doctors in Brevard and we believe we're going to start getting prescriptions from Brevard County soon that we can deliver from Orlando. So start seeing new physicians' offices, new clients, new long-term care facilities, all of that coming onboard for the Orlando and Davey locations, and we're going to try as much as possible to send any business or make them save on those economies there. Where the Davey and Orlando locations can service them for cheaper than the than our Palm Beach, or Miami locations. So you'll see some shifting around of prescriptions where we might send some of our prescriptions to Davey and they might send some of their Miami Dade prescriptions to us. So it won’t be always the same mix of prescriptions we're working to optimize that so we can lower our costs. I know that we've done some talks recently about Georgia. I was up in Georgia not that long ago. There are phenomenal opportunities in Georgia, because again, hospitals, physicians offices, small and large scale clinics don't have the access to pharmacies who do what we do. Because of our board member, Jervis Hough, who is located in Atlanta, he has been instrumental in bringing us some opportunities. And that's why we've been travelling to Georgia and expect to travel there some more. We have an opportunity we're working on now. But as you know, especially I relate this to dating it take a long time to get married. And we're working on all the logistics and all the communications that need to be in place for an acquisition in Georgia. So it's not a one meeting kind of deal. We were up there recently, we're going to go back and we're going to try to leverage these community relationships and get into Georgia. One other benefit of Georgia is their payer models are much better. Their reimbursements are better, their cost of goods is better. So the more we expand now I'll say this. To close out this question, the more we expand the more we acquire, the further north we go outside of that, that hot zone of Miami Dade the better it is for us. So as you're looking at us and I know you're looking at fundamentals and you're looking at profitability understand that sometimes it's important that we spend a little money now to get us in a position to be strong and sustained for the future. That means 2020, 2021 and onwards because we owe a lot to our shareholders and we need to make sure we stick around. So expansion is very important. And I think I've covered all the major areas again if I missed anything, just let Stuart know.
Stuart Smith: All right. Can you give us an update on the work you've done with CBD, tele-pharmacy and DischargeRx?
Shital Mars: I'm going to talk about it in a different order we have -- I'll start with tele-pharmacy. Tele-pharmacy, we kind of pioneered and it's now getting mainstream attention in the Board of Pharmacy in Florida, it’s getting mainstream attention by insurance companies. It didn't exist before we started talking about it. But now they're start -- plans are starting to add this as a benefit to their members and Board of Pharmacy are starting to say this might be an opportunity to provide a better standard of care for those who live in rural communities and who better to promote that and spearhead that then us. Because we pioneered what it means to do tele-pharmacy and what it is designed to do. So we are communicating with the Board of Pharmacy about satellite locations that offer virtual tele-pharmacy assistance so you can walk in to a small kiosk, have a virtual conversation with a pharmacist, have your prescriptions delivered there from one of our four other locations without having to have a physical presence and give a pill scripts on site. They can still get consultation, they can still get care, they can still get prescriptions, either that same day or the next day, because we specialize in same day and next day delivery. So, as I said before, we were talking about 340B, because we have tele-pharmacy, we have that opportunity to add a satellite location or a virtual kiosk location through the Board of Pharmacy in places like Jacksonville, in places like Tallahassee and into the panhandle and some of these rural areas in between here in Orlando and Orlando further North to start getting those patients as well. And a lot of that wouldn't be possible without the regulations being in place and now finally recognize what tele-pharmacy is. And we're still working on kiosk sizes and the physical footprint of tele-pharmacy. Remember also that tele-pharmacy integrates very well with DischargeRx and DischargeRx, we had a lot of interest on DischargeRx in Georgia, and we're seeing a lot of interest on DischargeRx in Orlando. Nobody does medication reconciliation, patients are just waiting to be discharged our iPads and our platforms can not only do transitional meds, but through that tele-pharmacy be able to do medication reconciliation, medication coaching and counseling and everything else. And optimize what the discharging hospitalist is prescribing. So, we do see some indication of use and some interest there. But one thing I would tell you about getting into a hospital relationship, especially a large hospital that services thousands and thousands of patients a year. They operate on strict budget years. So they either have one year or two years. So even though we come in, we make a great presentation. They're interested they want to get started. They say okay, let's get started 2020. They don't say let's get started now, because they have to then do what -- they have to go to their boards and they have to then build that into their budget. So we have brought DischargeRx to a number of opportunities. And we're working with their staff and their board to do those presentations a number of times and work out the logistics of how that works. Ensuring patient choice and all their regulations and our regulations are met. With CBD, CBD is kind of a hairy topic in Florida. We have three or four CBD brands on our shelves. We are actively promoting our expertise in CBD. We're telling patients, they're getting CBD from all over the place. They're buying it online, they're buying it from vape shops, they're buying it from wherever. And we're telling them, bring it to us, show us a picture, show us a brand, because as a pharmacy we can tell whether it's the right consistency, we can tell whether there is CBD even in it. Keep in mind if any of listeners are using CBD, a lot of times you're getting olive oil, and very little CBD, not enough for any kind of therapeutic use. So any of you guys listening to is you want to call us, send us what you're using, let us look at it at least, and tell you if you're getting a quality product. We have what we believe are four brands of quality products. So we evaluate the certificate of authenticity of analysis, where we've evaluated where they grow, how they process everything. Our compounding pharmacist is very strict. No GMOs, no other additives. It's the purest stuff you can get, it's all locally sourced, it's all grown in the U.S., it’s all processed in U.S. and she follows it from seed to the pharmacy. So we are promoting our expertise in CBD and we are expanding our ability to sell CBD legally. The FDA, the DEA, the state of Florida has very strict rules and I know that there's a pharm bill, I know that hemp is legal. But again, we have in the state of Florida and even with the DEA, they're not making a distinction between male and female cannabis [indiscernible] is hemp, it also is marijuana. The female produces buds, the male does not so the male plant is hemp. That's what you can get CBD out of. So because they're not making this concrete distinction between the two in how they worded. It makes it very difficult for us to access the plant and sell the plant legally. So we're regulated by the DEA, we're regulated by the FDA, we’re regulated by the Board of Pharmacy, we're regulated by everybody, and Florida and the FDA has said they don't want CBD introduced into the food supply. So that means no edibles, no beverages, anything like that. And not that we would want to promote those things anyway also because the therapeutic benefits are very small, but so our patients, we want to have the best product. We are in talks to the CBD manufacturers that is local, where we can control and the benefit of having a CBD manufacturer that is local and the plant is growing locally at least within the state boundaries of Florida as we don't have to deal with interstate laws. And that helps us a little bit also with the regulations. Keep in mind that we have to do this very carefully, we have to do this by the book. We have to make sure we don't mess this up and rush to market with our products. Because we can lose our bank relationships, we can lose our credit facilities and we can be shut down by the DEA, the FDA we can be shut down in the state of Florida tele-pharmacy. So we have a lot at stake to risk being cavalier with how we do CBD. But that being said, we do have products on the shelf, we are working with our patients, we are trying to sell it legally and we're trying to make sure that everybody that gets CBD products, whether from us or somebody else is getting the right stuff.
Stuart Smith: All right. Well, there's a lot of discussion about profitability and the plans for 2020. Please talk about what the company plans to do to improve the fundamentals and prepare for future growth. And this also happens to be our final question for the call today, Shital?
Shital Mars: All right. So this is my favorite question, because this is all about the future, I know that we get a lot of comments, especially on our social media and a lot of things coming into questions for our Investor Relations people about our profitability. We are actively working on our profitability, we are trying to find ways to cut costs, we're trying to find ways to improve our efficiency, we are trying to find ways to improve our performance to be a better pharmacy, to do all of those things, to reduce the cost of our inputs our drugs, our bags, our packaging, everything. That being said we want all of our listeners and all of our shareholders to understand that our pricing even dictated by us that we don't have control over the PBMs. You're looking at PBM who are getting insurance companies below cost of brands. So they're telling the insurance company that your budget at and I'm going to make up a number here, set your budget at $10 million for Pharmacy Benefits. Keeping in mind that they know that they're going to pay pharmacy below cost for brand name medication, they're going to pay pharmacies below costs for generic. So -- and we don't get control over that. We don't get to say hey, no, we don't -- and especially with Medicare, if we have a Medicare contract, we are contractually obligated to support and supply prescribed medications to Medicare patients. That's how our business works. And that's how every pharmacy works. So if you're looking at us saying why are we like that, we're not the ones like that. We're like that every pharmacy that you touch is like that. So if you get medication from an independent and I strongly suggest that anybody get their medications from an independent shake that pharmacist again because they're covering and subsidizing more pharmacy benefits. And if you're getting diabetic insulin, chances are they had to pay some money to give you that insulin. They're not getting paid the cost that it costs to buy it from the wholesaler it cost $100 they're getting paid $90 to give it to you. And so that means we had to pay $10 just to give it to you. And HIV is the same way we're subsidizing the cost of care. Because PBMs are under bidding their Pharmacy Benefits and we think that's to the detriment of everybody. But profitability, we're not one of those to go and stand in the rain and cry. That's not how we do things. We go and push hard as far as we can. We -- our performance, if you look at our performance metrics, and you look at our adherence, you're looking at numbers of 98%. We are now looking at a pharmacy that says Lottie, Dallas, just do whatever we feel like it. We're managing patient. We're doing our MTM. We're ranked sixth in the nation in MTMs recently. We're actively asking for cases, we don't have enough MTM cases from the PBM. We're trying to streamline everybody. So that'll add money to our bottom line. We believe that the path forward for us is to diversify. We believe very fundamentally, in what we do as a pharmacy, we believe in patient care, we believe in servicing them, we believe no patient should be turned away because they can't afford a medication, we believe no patients should be turned away, because the pharmacist is not getting reimbursed appropriately. We want to make sure patients get their meds because it's important. That being said, we want to also find ways that insulate us from the whims of insurance. And I do call it whim because today they decided they like something they like it, tomorrow they don't and it's cut off immediately. As you saw with compounding we believe wholeheartedly in compounding. We believe it benefits patients, we have hundreds of testimonials, where patients are saying this saved their life. This saved everything that their quality of life, their ability to move, their ability to walk, we feel defensive, even though insurance has said they will no longer cover it, and we are fighting with insurance and we're trying to get it covered and we're forcing the issue. But the one thing with compounding that we focused on is cash based business. So we're now focusing on amniotic fluid. We're focusing on cash based business, we're talking about direct to physician's offices, direct to patient, cash business, we're talking about CBD, we're talking about hospital programs. And then working with the PBMs, especially ones that provide us opportunities to leverage our performance like Humana, which is one of the best when it comes to DIR fees because at least we have an opportunity to get it back. DIR fees is massively high, where we have the opportunity to get it back. They are the only ones that do that. But go to places like Humana and say, look, we're a five star pharmacy, look at what benefits we provide to your members. And then look at what we're saving you and your plan as a whole. Because we've managed the adherence, we've done research here that says for every adherent patient we have, we're saving the system that's Medicare and the commercial system between $1,600 and $3,200 per patient. Every time your patient is inherent on hypertension, that's preventing a cardiac incident where they're going into the ER and costing 30 brand. So by saving on average $3,200 hypertension medicine costs nothing, we're saving the plan a lot of money. So they're being penny wise and pound foolish by nickel and dining the pharmacy, we believe that we can go with all these lives under management. The more we have, the bigger we get, not just the profitability. But the bigger we are the more lives we manage. I keep saying that, the more we can go to the PBMs will say you need to treat our pharmacy differently. And they do that for only for big pharmacy. They don't do it for a little ones that do 10,000 a month, they don't care. So we have to do 50,000, we have to do 100,000 prescription and then we can negotiate and right around tickets because then they need us. So that's what we're looking at on cash base. We're looking at that business, the business we're looking at DischargeRx and we're looking at monetizing all that. I know we got a question about licensing. One of the reasons we developed tele-pharmacy and tele-pharmacy app and why we're working so hard to integrate that with our website and the kiosk is the ability to license that ability to other pharmacy. And to bigger chains and to other technological companies who need this access. The one thing about tele-pharmacy that we do if we can license with to your mail order to these other mail order that don't have any face to face interaction with the patient may need a platform to do that. We can supply that. So licensing was part of the plan when developing tele-pharmacy. So for anybody asking what's the plans for profitable, that's the plan. The plan is to add more prescription, plan is to grow like gangbusters in Orlando, in Brevard, in Tallahassee, in Georgia, wherever we may go, and Palm Beach especially add all that profitability together to become a large pharmacy, we need more lives under management, and we need to keep pursuing that goal. Going into 2021 one of the big changes for 2020 is going to be the move of PharmCo in North Miami Beach to the building, that's going to save us a lot of money. One of the things that we deal with now is we're dealing with a $19,000 lease payment that lease goes up every year when that expires in 2020 and they've come under -- come into the building, and we’re able to build up this building to do 50,000, 100,000 scripts, and shifts overnight here, we only pay $11,500 a month to facilitate that here through the mortgage. And we have this asset and we're putting equity into an asset, instead of paying a lease that goes nowhere. So you're going to see some savings in 2020 as we eliminate daily expenses, where we don't need another location there, we're going to try to consolidate and eliminate the duplication and increase that efficiency is a cost of $6 a script to process a prescription today and just labor costs and packaging costs by putting all 50,000 scripts or maybe not Palm Beach, but all of daily scripts and, and North Miami Beach’s scripts in one place, we're talking about 40,000, maybe all of those scripts in one place, we can bring that cost down to $4, or $3. And we're looking at automation systems that will allow us to reduce our labor costs, and increase the speed at which we can fill a prescription and the accuracy as well. So we'll be able to have the same accuracy and programs as any other big best central filled pharmacies out there. And we'll be able to offer central filled capability to other pharmacies looking to grow. So that's our 2020. Outlook, we know that we're going to probably add another location in 2020. We're working on where and we're working on how whether that's a satellite, or full new built out brick and mortar, we know that there will be one more coming in 2020, as we negotiate either an acquisition or something where we go at alone, but that's all to our benefit. I want everyone to key into this idea that the bigger we get, the more prescriptions we do, the more patients we manage, the more ability we have to fight back against what's going on in the insurance world and fight back against these recoupments and these universities and the and the formulary contraction and all of that. And, yes, I know there was another question about whether we're looking at acquisition outside of the pharmacy space? And the answer is absolutely, we're looking at opportunities where we can get into other businesses that don't have the same constraints that we do. And we think we are we're looking at things that mesh well, with the pharmacy business, again, we want to stick with core competencies, and we don't want to pick something that we don't understand. We want to make sure that whatever we choose if we choose to go outside of the pharmacy business it integrates well with the pharmacy business. So that's what we're, we're moving towards. And that's our 2020 outlook. And we think it's really bright, and it's really great. And 2020, we have a full year of FPRX. So we're talking about $40 million in sales. And we're talking about 50,000 prescriptions a month. So we are -- I think we're delivering on everything that we've ever told our shareholders we would deliver on. And I think that that, hopefully in time because we are so dedicated to transparency, we are also dedicated to go and are so dedicated to the truth and delivering for our shareholders, that the stock price will catch up and everybody will start to see the true value of this enterprise.
Stuart Smith: Well, thank you for that Shital. And thank you once again listeners and shareholders and potential investors all of whom sent in questions for this call to make it complete. I want to thank everybody for their time listening to the call today. And once again, the call will be available at smallcapvoice.com and as well as the progressivecareusa.com website as well. Thank you for joining us on the call today.